Operator: Good morning, ladies and gentlemen, and welcome to Owens & Minor fourth quarter and year end 2008 conference call. My name is [Sim] and I will be your operator for today. (Operator Instructions) I would now like to turn the presentation over to your host for today's call, Craig Smith, President and Chief Executive Officer of Owens & Minor. Please proceed, sir.
Craig R. Smith: Thank you, Sim, and good morning, everyone. Welcome to the Owens & Minor fourth quarter and year end 2008 conference call. We'll review our results and take your questions in a moment, but first let me introduce my colleagues on the call today - Jim Bierman, our Chief Financial Officer, Charlie Colpo, our Executive Vice President, Grace den Hartog, our General Counsel, Dick Bozard, our Treasurer, and Olwen Cape, our Controller. Now, before we begin, Trudi Allcott,, our Director of Investor and Media Relations, will read a safe harbor statement. Trudi?
Trudi Allcott: Thank you, Craig. Our comments today will be focused on company results for the 2008 fourth quarter and full year, which are included in our press release. The press release, as well as a related presentation, can be found on our website. In the course of our call today we may make forward-looking statements. These statements are subject to risks and uncertainty that could cause actual results to differ materially from those projected. Please see our press release and our SEC filings for a full discussion of these risk factors. And finally, this conference call will be available on our website for the next three weeks. Thank you. Craig?
Craig R. Smith: Thanks, Trudi, and let me call on Jim to brief us on the results. Jim?
James L. Bierman: Thank you, Craig, and good morning, everyone. We are very pleased with our results for the fourth quarter and the year, especially when viewed in the context of the uncertainty in the overall economy in 2008. The fourth quarter was a busy one for us as we completed a sizeable acquisition and began the process of exiting the direct-to-consumer diabetes supply business. As for the acquisition, we purchased certain assets and liabilities of the Burroughs Company effective October 1st and immediately began a phased conversion of its customer base. Later in the quarter we signed a definitive agreement to sell certain assets of our diabetes supply business for $63 million. That transaction was completed on January 2, 2009. As a result of the decision to exit the DTC business, its results will be reported as discontinued operations in our consolidated statements of income and all prior periods have been reclassified to be consistent with the current period presentation. We have a lot of financial information to cover today, so I will begin my remarks of a review of key metrics for the fourth quarter 2008. Revenues, gross margin, SG&A expenses, operating earnings and net income. I will follow with a brief overview of our annual results and conclude with a discussion of our outlook for 2009. Fourth quarter 2008 revenues of $1.96 billion were $234 million greater than revenues reported in the fourth quarter last year, an increase of 13.6%. Quarterly revenue growth benefited from the Burroughs acquisition and new business signed in the latter half of 2008, as well as solid underlying organic growth. For the fourth quarter 2008, gross margin was $193 million, an increase of $22.8 million when compared to the fourth quarter of 2007. As a percent of revenues, gross margin was 9.86%, essentially unchanged from the fourth quarter of 2007. SG&A expenses for the fourth quarter 2008 were $141 million, an increase of $16.5 million when compared to fourth quarter last year. The increase in SG&A dollars resulted primarily from expenses associated with the Burroughs transition, including information technology expenses as well as increased labor costs. However, even though the expense dollars for the quarter were greater than last year, SG&A expense as a percent of revenue decreased by 2 basis points to 7.20% of revenues. For the fourth quarter 2008, operating earnings were $48 million, increased $6.6 million from last year. as a percent of revenue, operating earnings were 2.47% for the quarter, improved 5 basis points from last year's fourth quarter. Quarterly income from continuing operations was $0.66 per diluted share compared to $0.56 per share last year. Reductions in net interest expense and the effective income tax rate contributed positively to the results. The quarterly decline in interest expense resulted from lower balances outstanding on our revolving credit facility and a more favorable interest rate environment. The decrease was partially offset by borrowings related to the Burroughs acquisition. Net income for the quarter was $20.2 million, decreased $2.3 million from net income of $22.5 million in last year's fourth quarter. For the fourth quarter, net income per diluted share was $0.49 compared to $0.55 last year. The decrease was due to the effect of the discontinued operations. Now, during the fourth quarter we made the decision to exit the direct-to-consumer business as the consumer market no longer fit with our strategic goals. As we said at our investor day, we are focused on our hospital business and opportunities in adjacent markets. We see this businesstobusiness approach as better suited to our expertise and strategic goals. We completed the sale of the customer list in January 2009 for $63 million and we are engaged in an orderly exit from this business. Consequently, for the fourth quarter we recorded a loss from discontinued operations of $7.2 million or $0.17 per diluted share compared to a loss of half a million dollars or $0.01 per diluted share in the prior year's quarter. The increase in losses is primarily due to charges associated with exiting the DTC business, including losses for abandoned software, severance expenses, and certain contract termination expenses. Since the sale was completed in 2009, we would expect to report additional disposition-related adjustments in the first quarter of 2009. And finally, let's revisit the financial aspects of the Burroughs transaction. Effective October 1, we completed the transaction, acquiring certain assets and liabilities of the Burroughs Company for cash of $16.8 million, which reflects a purchase price adjustment in January of $7 million. We also assumed debt of $56.1 million. We used our revolving credit facility during the fourth quarter to fund the transaction. We also purchased real estate used by the Burroughs Company for approximately $17 million. We are offering these properties for sale. I would like to turn now to an overview of the full year results. For the year we reported record annual revenue and earnings as well as solid results in operating margin. Our teammates really did a great job managing through our business growth in a challenging economic environment. When looking at the full year, revenues were $7.24 billion, an increase of 8.2% when compared to revenues in 2007. Revenue gains for the full year when compared to last year resulted from the same sources that drove quarterly revenue gains, offset slightly by the anticipated decreases last year in revenue from the acquired McKesson business. Full year organic revenue growth was approximately 6% when compared to last year. Also, please note that there was one additional sales day in 2008 when compared to 2007. For the year, gross margin was $717 million, improved $67 million when compared to 2007. as a percent of revenues, year-to-date gross margin was 9.90%, an increase of 19 basis points compared to last year. The year-over-year increase was driven by improvement in the gross margin from the acquired McKesson business, additional sales of value added programs and services, greater supplier incentives, and manufacturer price increases during the course of the year. For the full year, SG&A expenses were $521 million, increased $27 million compared to 2007. The increase in SG&A expense dollars resulted primarily from an increase in our incentive compensation expense, reflecting improved achievement against certain performance-based measures. Other elements included greater personnel expenses and warehouse occupancy expenses due to business growth and the Burroughs acquisition and increased information technology outsourcing expenses. These increases were partially offset by non-recurring costs incurred early in 2007 from the McKesson transition. As a percent of revenues, SG&A for the year was 7.20%, comparing favorably to SG&A of 7.39% in 2007, again, an improvement of 19 basis points. When looking at the full year 2008, operating earnings were $181 million, increased $39.9 million from the prior year. As a percent of revenue, 2008 operating earnings were 2.50%, a 40 basis point improvement when compared to the prior year. For the full year, interest expense was $16 million, a decrease of $7.1 million from last year and for 2008 the tax rate was 38.5%, slightly lower than the prior year's 39.3%. For the year, net income was $93.3 million, improved almost $21 million over the same period last year. Net income per diluted share for 2008 was $2.25, increased $0.46 per share from last year. And income from continuing operations for the full year was $2.44 per diluted share, improved $0.68 when compared to last year. Turning now to our asset/liability management efforts for the year, we reported operating cash flow of $76 million compared to $210 million in the prior year. You may recall that last year we were recognizing cash flow benefits as liquidated the McKesson inventory. In 2008, operating cash flow results were negatively affected by increases in inventory of $56 million as we prepared to bring onboard new customers signed in late 2008. Receivables increased by $48 million as DSOs at the end of the quarter was 24.5 days, increased from 23.6 days at the same time last year. In 2008, our capital expenditures were approximately $27 million, we paid dividends of $33 million for the year, and we increased borrowing under our revolving credit facility by $74 million, in part to fund the Burroughs acquisition. Our total borrowing capacity under our revolving credit facility is $306 million as of year end, and we had approximately $147 million available. Now looking ahead to 2009, please keep in mind that during the first half of 2009 we will be engaged in the conversion and integration of the Burroughs business, which has a lower margin profile than our existing business. We will also onboard new customers resulting from agreements signed in late 2008 and we will experience the seasonal increases in compensation-related expenses that are typical to the first quarter. All in all, we are cautiously optimistic about the year, but we are also fully aware of the current economic conditions and the relative lack of visibility into the economy as a whole. We continue to closely monitor the drivers we believe are crucial to our success. In light of the current economic conditions, we are broadening the ranges of our guidance. We believe that we will achieve revenue growth in the range of 8% to 12%, and we believe that income from continuing operations per diluted share for 2009 will be in the range of $2.55 to $2.70. Thank you. Now I will turn it over to Craig for his remarks.
Craig R. Smith: Thank you, Jim. And, as Jim said, we are really very pleased with our results for the quarter and the year. We crossed the $7 billion revenue mark and we reported record earnings for 2008. As we look back, I think we can all agree that this was a year really for the history books. In the first quarter we were facing sharply rising fuel costs and by the end of the year we were facing obviously economic conditions we haven't seen in decades. As a team, I think it's fair to say that we did keep our eye on the ball in 2008, despite the challenges of the overall economy, the Burroughs acquisition and our decision to exist the diabetes business. Now, all year our teams in the field and at the home office remained focused on our goals. I want to commend our teammates for their outstanding and extra efforts this year. I firmly believe our performance in 2008 demonstrates that our long-term dedication to customer service, teamwork and conservative business practices works to our advantage. We believe the best course for us is to continue investing in our business, allowing us to grow profitability and still provide our customers with exceptional supply chain management solutions. We invested in technology upgrades and operational efficiencies in 2008, including installing automation equipment in some of our bigger DCs and as a result we are seeing improved productivity in these facilities. Investing in our business also means investing in our teammates, which is something we take a great deal of pride in our organization. We will continue to offer training and educational opportunities to our teammates and to our customers. OMU has proven to be a great training ground for our teammates and since we launched OMU in 2005 this is an amazing number we have had 40,000 courses taken by our teammates. We know that our team provides a competitive advantage for us in the field every day, and we will continue to invest in their development. Now as for recent events, I would say that we had a busy quarter would be an understatement. We signed several large competitive customers and at the same time we completed the Burroughs acquisition and began converting these new customers to our platform. The customer conversions are under way and today we remain on track to finish the work by the end of the second quarter. And as Jim said, the transition will generate typically expenses incurred during an integration of this size, including inventory build up, travel, overtime, transportation, training and real estate costs. The conversion activities will be balanced by the potential revenue gains as well as untapped opportunities to introduce new customers to our value added programs and services. We also believe we will realize the benefits of added sales volume with our suppliers, as there was significant supplier overlap with this acquisition. Looking ahead, we believe that our year will really come together in the second half of 2009. Now turning to the overall health care market, we continue to hear consistent themes from our hospital customers, similar to what we cited at investor day - some softness in admissions, some softness in elective procedures, difficulty in accessing credit, and delay of capital projects. We continue, however, to believe that there will be opportunities for us in the economy to introduce customers to our supply chain management solutions that can help hospitals reduce the overall costs of providing health care while improving efficiency at the same time. And we also believe there's an opportunity to grow our private label MediChoice as it offers customers a cost-effective product alternative. With the challenges in the overall economy, we are relying on our core values, which have served us well in good times and bad. We continue to operate our business according to conservative business principles. We are focused on delivering exceptional customer service, and I am very proud to say our surveys came in at 98% customer satisfaction level in 2008, which was an improvement of 4% over last year. And to get 1% year-over-year is pretty dynamic. To get 4% was outstanding. As we have always done, we continue to closely monitor the credit quality of our customers. We us conservative asset management practices. We are focused on maintaining a strong balance sheet and generating positive cash flow. And at the same time, we are not neglecting the infrastructure investment that will keep us strong for tomorrow. We continue to grow our business at above market rates, and I'm very pleased to report that our Board of Directors has approved a 15% increase in the first quarter 2009 dividend, which will be $0.23 per share. Let me just wrap by saying that we are extremely pleased with our 2008 results and we believe we are well positioned operationally, financially and strategically for the year ago. Thank you, now we would be happy to take your questions. Operator?
Operator: (Operator Instructions) Your first question comes from Lisa Gill - J.P. Morgan.
Lisa Gill - J.P. Morgan: Jim, could you maybe just, on the EPS guidance of $2.55 to $2.70, understanding the economic environment, can you maybe just help us to understand a little bit better what's in the lower end of the range versus the high end of the range? Is it primarily revenue so when we think about the 8% revenue versus the 12% or are there other expenses that we need to think about in the difference in the two ranges? And then secondly, Craig, I know we don't like to talk about specific names of who the wins were for the fourth quarter, but maybe you could talk about relative size and what gave Owens & Minor the competitive advantage to winning that business.
James L. Bierman: I think lower end of the range recognizes two potential risks that may exist, and one is a drop off in revenue and revenue in that sense, I'm speaking of across the board health care spend for the products we distribute being down. And I think the second component, quite candidly, is the potential for a slight decrease in gross margin as there is potential greater pricing pressures for hospitals, for GPOs and for suppliers also.
Lisa Gill - J.P. Morgan: And are you seeing any bankruptcy - I think that Cardinal talked yesterday about some bankruptcies and we've heard this from some others in the supply chain, that there's been several bankruptcies by hospitals. Are you starting to see any of this? And when we see the bankruptcy, are they working through it so therefore they're still buying supplies or are you seeing hospitals outright shutdown?
James L. Bierman: I think the experience we've seen so far is - and this is consistent with, say, even last year - bankruptcy is an unfortunate part of the process, and we saw bankruptcies last year and we see some this year also, not a significant change in any trending that we've seen. As the workout process of a bankruptcy - and I believe I've said this before - at conferences and investor groups, it also differs. Oftentimes the bankruptcy group is very keen to keep the doors of the hospital open and therefore comes to us and asks us if we can continue to provide distribution services, and on a case-by-case basis we may but with different payment terms, oftentimes with a letter of credit that guarantees us going forward. So we take different positions on a case-by-case basis. We haven't seen a seismic shift in the industry at this particular point in time.
Craig R. Smith: You know us pretty well; I think we take a pretty conservative approach to the hospitals that we do business with, and so we feel comfortable to date that the hospitals we do business with are obviously under the gun but we are pretty selective - not pretty selective; we are selective - with who we open business with and do business with. But let me answer the second part of your question. There were really two basically different customers. One was a large hospital system that really wanted to get out of internal and external distribution and get out of the warehouse and this was the hospital that we had discussions with off and on for some time. And they finally pulled the trigger and basically outsourced all of that to us, and we ramped that up in December. And I was very proud of our group. We were right in the middle of some Burroughs conversions and we were able to handle this really without too much of a hitch. The second group what I would say is probably a group of different size hospitals throughout the United States. They were a customer awhile back; they decided to come back to us. We're in the middle of that right now. We're probably going to wrap that up this month. And so I think we started to say or I know I started to say at investor day we'd start to see some heavier inventory in the fourth and the first quarter primarily because of the two systems which, combined, it's a pretty good competitive amount of business. And then, of course, right in the middle of the Burroughs conversion. So you could look at one, the first one, as an integrated service center model, a little bit modified, and then the second group would be your typical mid-size hospitals that do a lot of bulk distribution and two or three scheduled deliveries a week.
Operator: Your next question comes from Eric Coldwell - Robert W. Baird & Co., Inc.
Eric Coldwell - Robert W. Baird & Co., Inc.: The first question is, with the upper end of the earnings guidance range being taken up, I'm curious if you could parse out for us how much the Burroughs acquisition perhaps being ahead of schedule contributed or possibly the sale of direct-to-consumer contributed to that? And I guess as kind of a subset to that question, could you give us some sense of what your initial expectations for direct-to-consumer were in 2009 from an earnings contribution?
James L. Bierman: Sure, Eric. The upside - for those that don't know us as well, the previous guidance, the upper range was $2.65, so we've now made it $2.70 - it pretty much totally is due to the transaction on the DTC business, Eric. It has nothing to do with the Burroughs transaction at this point. I wouldn't characterize that we are ahead of schedule on Burroughs. I would characterize it that we are on schedule with a significant amount of work to be done in the first quarter and coming on to the second quarter of 2009. But the DTC business specifically, it's reflected in the fact that we received $63 million in cash and that changed some of our interest assumptions going forward. And it removes an element of earnings variability that I think we've all seen out of the consumer business in the past, and I think it caused us to feel comfortable raising the upper range given the fact that we are removed from that business. And again, I'd point out these amounts I'm speaking of are all income from continuing operations.
Eric Coldwell - Robert W. Baird & Co., Inc.: Right. And Jim, that's directionally what I expected to hear, but I guess what I'm trying to drive to is did your original assessment of DTC basically include a flat year for operating performance or had you factored in the potential risk initially of the Medicare payment cuts and perhaps, absent the sale, you would have experienced a greater loss in that business this year because of lower reimbursement?
James L. Bierman: I think I alluded to this at least at investor day, that it was certainly my expectation that the direct-to-consumer business breakeven in 2009. That being said, as you would expect, we assign some degree of different probable outcomes to performance and the largest amount of variability certainly centered around that business. It just tended to have less visibility than our core acute care hospital business. And therefore I would say there was greater variability associated with it. But again, I had anticipated it should breakeven and that is taking into consideration the Medicare reimbursement cut.
Eric Coldwell - Robert W. Baird & Co., Inc.: The next question relates to your comments, Jim, about factors that could impact the first half profitability, the onboarding of the new accounts, Burroughs, the seasonal compensation adjustment. One thing you did not mention was the renewal of a couple of GPO contracts, including one that went live January 2nd, so should we assume by that that you did not have a pricing reduction on that renewal, as has historically been the case - was it omission or commission, I guess, is the question.
Craig R. Smith: Eric, I'll answer that. Actually we resigned Premier and HPG. Premier, basically, as we talked before, they really allow flexibility with their different integrated delivery networks, so I would say they have more of an umbrella contract and then we work exclusively with a lot of their larger systems. So we really don't see any degradation there. I would say the HPG was a little more competitive and we reduced slightly the HPG contract, but, again, that's a smaller percentage overall for our whole book of business.
Eric Coldwell - Robert W. Baird & Co., Inc.: Final question, Craig, you kind of threw this out there, the reminder that consistent with what you said before, there's been some moderation in hospital admissions, elective procedures, etc. Could you maybe parse that out a little bit, talk a little more in detail about what you're seeing on the admission front? Any color you could provide in terms of perhaps volumes that you're seeing decline in terms of admissions, whether it varies by type of hospital or anything of that sort would be useful.
Craig R. Smith: I have to tell you, Eric, we have basically the same access to all the information that everybody else has. We were going through about eight pages of these different reports and I think depending on which report you pick, you can glean information from. But we look basically at our sales every day. Anecdotally, we are in regular contact with most of our major hospitals. And you could say that admissions are slightly off. Surgeries look like they're fairly holding. Our sales are holding or where we expect them to be. So there's HIDADATA, there's analyst data, there's AHA, there's Verispan, and, you know, they're all a little bit different, look at it a little bit differently. But overall I would say, from a color standpoint, we're pressing forward. We're looking at the sales on a daily basis and they seem to be holding for us uptodate right now. But I do think admissions are off a little bit, but it looks like the surgeries are holding.
Operator: Your next question comes from Lawrence Marsh - Barclays Capital.
Lawrence Marsh - Barclays Capital: I just want to be clear around that, because it is a sale of assets. I think you were pretty clear in the press release, but is there any liability or contingent liability that could possibly be still on your dime going forward with that business or is there a complete separation of any current or future issues associated with that asset?
James L. Bierman: I'm not exactly sure the nature of the question, Larry, but I'll answer it from a literal perspective. We sold certain assets in that transaction to Liberty or Medco Heath, and it was primarily the customer list and intellectual property, so we retain the corporate entities and, as we've talked about in some of our public announcements, many of the assets associated with those businesses. And as such, we would certainly retain any obligations associated with owning those businesses. Now, we're in the process of winding all of that down, but I believe that's a literal interpretation or answer to your question.
Lawrence Marsh - Barclays Capital: Right. And part of your charges are associated with your deemed collectibility of associated receivables and any other, you know, wind down expenses, so we would assume that you're taking a fairly conservative view of what that collectibility would be.
James L. Bierman: Yes. We're aggressively pursuing converting all of the assets that remain into cash. And so they're basically three major categories of assets. The largest, as you've hit upon, is receivables, and we're aggressively pursing collection of those balances. In addition, there is some inventory and we are pursuing the sale of the inventory, and there is a smaller amount of fixed assets, leasehold improvements and such, and we're attempting to either repurpose that, use it elsewhere in the organization, or sell it also. So yes, absolutely.
Lawrence Marsh - Barclays Capital: Second question, let me rephrase one of Eric's questions, maybe do it a little less eloquently, but around the catalyst to the widening of your revenue expectations for 2009. I know when you gave us a view back in December, we were already dealing with a fairly challenging economic environment, and I think at the time you had said you were factoring that into your expectations. And here we are really two months later and I think your message is your current volume seems to be running about as you would be expecting. So is your bring down of the lower end of the top line just an acknowledgment from a macro standpoint that there could be further degradation of volumes or is that just an acknowledgment that you are seeing any sort of evidence of moderation of current volumes?
James L. Bierman: That's a great question. We are not seeing current degradation in volumes, and we've had a very successful, robust sales period in the fourth quarter as well as success bringing on the Burroughs customers. So we acknowledge the bit of confusion that exists in this area. I think that the impetus towards adjusting the guidance accordingly is the lack of visibility in the back half of 2009 regarding the spend rates of the hospitals. And as we read more projections about unemployment increasing, perhaps as much as 200 basis points, between now and the end of the year and upwards of around 9%, we are certainly cognizant of the fact that that could have an impact on activity. And so that is the sole reason for our caution and our thinking at this point.
Lawrence Marsh - Barclays Capital: And then one other thing, if I could. It's helpful to me to get an update on some of the milestones that you alluded to around the Burroughs acquisition. Obviously, you guys were very methodical in communicating and updating us on milestones with the McKesson business. I know back in December you were about to convert the first and smallest facility of Burroughs and you alluded to some other milestones that you're targeting here before you complete the integration by the second quarter. So are there any kind of key updates or key data points that we could address as we think about that process here in the next quarter or so?
Charles C. Colpo: We've completed five of the nine distribution centers and converted five of those to our platforms. I will say those would be five of the smaller ones, so it's not quite yet 50% of the business in total. The back half of our integration plans include the more complex distribution centers and the more complex customers, so that's where we are now.
Lawrence Marsh - Barclays Capital: So is it fair to say, Charlie, that those conversions have gone as expected and has there been any surprises, positive or negative, that you've seen so far?
Charles C. Colpo: You know, I would say it's gone as expected. We have a very seasoned and now very experienced conversion team whose spent the better part of the last two years, I think, doing conversions, so we had obvious some differences and different nuances in starting the integrations, but we've got those under control now and things are going according to plan.
Lawrence Marsh - Barclays Capital: And finally, are you still suggesting that you hope to retain $500 million of the business from Burroughs or at this point are you cautiously optimistic that that could be a little bit higher?
Charles C. Colpo: I would stick with the $500 million right now.
Operator: Your next question comes from Glen Santangelo - Credit Suisse.
Glen Santangelo - Credit Suisse: If I could just follow up on some of the revenue questions here, if you are keeping $500 plus million from Burroughs and you did get some benefit from these two new significant wins you mentioned, Craig, are you kind of implying that organic revenue growth is now kind of in the low single digits? Is that a fair assessment?
Craig R. Smith: Yes, I think mathematically that generally is what's going to work out, yes.
Glen Santangelo - Credit Suisse: And so, Jim, if you look at kind of the last couple of years, you had been in the high single digits and you've even had a couple of quarters above 10%. Is the slowdown really just a function of kind of what you're seeing in the broader environment?
James L. Bierman: Yes, I believe that's exactly right.
Glen Santangelo - Credit Suisse: I just want to follow up and ask that DTC question on more time. Embedded within your original $2.55 to $2.65 estimate you were assuming kind of flattish EBIT or EBITDA for the DTC business? Because when I look at the earnings this quarter, D&A looked a couple million lighter. It trended down from where you were in 3Q and I was trying to figure out maybe why we saw that significant reduction in D&A.
James L. Bierman: Yes, when I was answering the question before I was talking of operating earnings. That tends to be how we would look at it. And so depreciation and amortization would have been factored into that.
Glen Santangelo - Credit Suisse: So your assumption at analysts day was flat operating profit and so really the $0.05 increase in your guidance is based solely on the $63 million in cash you got in. Is that fair?
James L. Bierman: Not quite - and not to parse words - but I do think that as we give guidance we do take into consideration the variability of each of the components that we're considering, and I would say that the variability - and by that I mean the potential for different outcomes at different probability levels for the DTC business - had a fair degree of variability associated with it. That being said, I was targeting the DTC business to be fundamentally breakeven at the operating earnings line for 2009.
Glen Santangelo - Credit Suisse: You guys have successfully kind of, I think, renegotiated all your GPO contracts. Could you give us an update? It seems like you maybe renegotiated almost 80% of your business in the last year or two. Is there anything left on the horizon or are you good for another couple few years?
Craig R. Smith: I think, Glen, overall I know definitely we don't have anything this year and actually I think it would maybe even be late into next year, 2010, that we would even start to have any renegotiations of any of the larger contracts. With all of this going on, with all that we have going on in 2009, a real big plus for that is we aren't in the middle of any negotiations for 2009 and so we have a lot of our operating units that are really just focusing on operational excellence and reducing their costs. So from a renegotiation point, we've got a breather.
Operator: Your next question comes from Robert Willoughby - BAS-ML.
Robert Willoughby - BAS-ML: To Larry's question, just the size of the accounts receivable risk, can you actually afford a diabetes business? Can you give us - is that bigger than a bread box or smaller than a bread box? What portion of your receivables is that?
James L. Bierman: Sure, Robert, but let me just clarify a piece if I could, for you. When you look at the balance sheet, with the discontinued operation treatment in the financial statements, all of the assets of the direct-to-consumer business have been consolidated into the general category that they belong to. So, for example, current assets have been collapsed into current assets from discontinued operations and you'll see that in the information we sent out last night, it's $38 million, and then there's long-term other assets from discontinued operations of $63 million. So within the $38 million of current assets, there's about $26 million of receivables and that is the component that we will be obviously pursing collection on. The critical point I'm making is that those balances have been removed from the specific line item that says accounts and notes receivable of $521 million. That does not include any direct-to-consumer receivables in it.
Robert Willoughby - BAS-ML: But you do have full recourse for that $26 million?
James L. Bierman: Correct.
Robert Willoughby - BAS-ML: And your timeframe, the thought process of when you can pull that in or is there any reserve issues that you've set up for that balance?
James L. Bierman: Yes. The $26 million is net of the reserves that we've established and we're aggressively pursuing collection, as you know, from that business. There are third-party intermediaries that pay a good proportion of that business and then once that is done there's either commercial insurers or individual patient balances. And so it takes awhile to work its way through and we are pursuing that now.
Robert Willoughby - BAS-ML: And can you, Jim, hazard a guess in terms of how much working capital savings there might be from the Burroughs consolidation?
James L. Bierman: Good question. No, I don't have that available. We would expect there to be at least - let me shift from working capital to at least cash from operations. We would expect to go to a more normalized cash from operations in 2009 than we saw in 2008 in part with the liquidation of the Burroughs inventory and greater efficiencies in that area. As we pointed out, the year end 2008 working capital components have increased and particularly the inventory piece in large part in anticipation of the conversions that we have with Burroughs and also the addition of new customers that we've brought on at the end of the year.
Robert Willoughby - BAS-ML: Would it be correct to think the amount of capital that you can ultimately - working capital - that you could ultimately pull out of the business as consolidation process is completed would offset the capital spend, the capital expenditure you wouldn't have targeted for Owens & Minor for '09 or is CapEx still going to be larger than that savings?
James L. Bierman: Truly, I haven't run the numbers that way. I don't know off the top of my head. We've talked in a range of CapEx for the year and that would be backing me into a number that I'm, to be honest, not comfortable since I don't have it in front of me at this point.
Robert Willoughby - BAS-ML: And just given the moving parts since the end of the quarter, can you guys hazard a guess, maybe, what the current debt balance is as we stand today and cash balance or do you not want to provide that?
James L. Bierman: No, but we would point out that we did receive the $63 million and we haven't seen a further deterioration in the days sales outstanding, so cash collection's been good to date.
Robert Willoughby - BAS-ML: But there was some real estate purchase as well. Is that in the quarter or was that subsequent? It was subsequent, was it not?
James L. Bierman: No, no, the real estate was purchased in the fourth quarter of 2008, so the cash is reflected.
Robert Willoughby - BAS-ML: From an M&A standpoint now, what is the Board's view here? Are you still open to kind of newer ideas outside the acute care world or is the view kind of lesson learned, don't get out of the boat?
Craig R. Smith: Well, I think it's both, Robert. I think we learned some good lessons getting into the direct-to-consumer business and I could probably opine for about an hour here on the lessons learned. I think we have, as you saw some of it at investor day, I think our five-year strategy's pretty tight in terms of a one-year, a three-year and a five-year. I think if the Board felt comfortable in an acquisition in one of those three areas and it complemented the strategy, I think we're much more disciplined towards the strategy and what we're looking for. I think that was a learning lesson. To be honest with you, as being the new CEO of the company back in 2005, I learned a lot of lessons from that. So we are still going to do acquisitions if it fits in the strategy, but as we generate cash, a lot of that's going to be to pay down the debt. But we will continue to look at acquisitions if its salutes the five-year strategy.
Operator: Your next question comes from Joel Ray - Davenport & Company LLC.
Joel Ray - Davenport & Company LLC: I noted that at the end of the year you had $359 million of debt and that's up. As I recall, at the end of the third quarter it was more in the $209 million range. Can we kind of work through where the incremental debt comes? Obviously, I know the acquisition of Burroughs, folding in their debt is involved here, but I'm just kind of wanting to make sure I understand what all the components are there.
James L. Bierman: I'm not sure I can break it all down for you with a high degree of precision, but I can definitely give you the major components. The acquisition of Burroughs was certainly a major piece of it, as was the acquisition of the Burroughs real estate. And I think in total that represented almost $97 million. And that is the big piece. There was also a buildup of inventory from the third quarter in anticipation of these conversions and the new customers coming online. And for the most part I would say those are the major two pieces that caused there to be a drawdown in debt. In the first quarter we received a $7 million purchase price adjustment to the Burroughs transaction, so we got cash in and, in addition, we received $63 million in early January for the sale of the DTC business.
Joel Ray - Davenport & Company LLC: And I presume that there's no refinancing or refunding having to come on your debt anytime soon, as I recall?
James L. Bierman: No, I think we're good for another two plus years on the revolver and the fixed debt, the $200 million of notes goes out even farther than that.
Joel Ray - Davenport & Company LLC: Now, the assets that you acquired from Burroughs, I know that those are for sale at this point. Can you tell us a little bit about what was actually acquired here and what your thoughts are on timing to unload those?
James L. Bierman: They represent nine facilities, distribution centers located throughout the Midwest. These centers are being aggressively marketed, but we realize it's a difficult market. But we are attempting to sell those.
Joel Ray - Davenport & Company LLC: And finally, as you had pointed out, your cash flow from operations was down because of all of these items in 2008. In 2007 you generated over $200 million of cash flow. What is a ballpark of back of the envelope thought process as you're thinking about 2009 on operating cash flow?
James L. Bierman: We're not comfortable being specific on that. I think what I have said in the past and sort of the general range of business that we are operating at, currently we would expect cash from operations to be anywhere from $100 to $150 million in general, but that is not guidance for 2009. I'm merely stating that in our business, with the general metrics and size we're talking about, that would be a range that we would look to be acceptable.
Operator: Your next question comes from Eric Coldwell - Robert W. Baird & Co., Inc.
Eric Coldwell - Robert W. Baird & Co., Inc.: One thing you gave us during the McKesson acquisition was the quarterly McKesson account revenue each quarter as that deal unfolded. I realize Burroughs is smaller, but I was curious whether we could get the exact contribution from Burroughs to the best of your ability for the fourth quarter?
James L. Bierman: Yes. Because Burroughs is smaller, Eric, it's not as easy to follow. And by that I mean, we are folding it into our reporting system and it's kind of losing its identity as to whether or not a customer is a Burroughs customer, an Owens & Minor customer, or they had been sort of a joint customer. Suffice it to say that on back of an envelope, as Charlie said earlier, the expectation for the fourth quarter was certainly consistent with everything that we have said publicly and what we've reported, but we're reluctant to give any greater specificity to those amounts in large part because it's going to be increasingly difficult to have confidence in the specific numbers as those accounts become blended and folded into the entire organization. And just culturally, I mean, if you think of it, we want those customers to feel as if they're part of the Owens & Minor family and team, and going on with the distinction of a Burroughs customer versus an Owens & Minor customer is just not consistent with the culture of the organization.
Eric Coldwell - Robert W. Baird & Co., Inc.: The one other follow up is more strategic, I guess, or just a little bit off the current path, but Cardinal came out with numbers yesterday talking about fairly decent upswing in their medical distribution group and some nice profit enhancement, but the one thing that Cardinal is experiencing that's still been a headwind for them has been their pre-source custom kitting business, a [inaudible] theme, but they're very big in the market. I know when we did the distribution center tour awhile back, I think a year ago, Charlie was talking quite a bit about what OMI's doing in that business in terms of ramping up your own customer tray business. I'm just curious what you're seeing there, if you, like your peers, are facing some of the increases in commodity costs, if you're seeing competition from smaller vendors, any kind of a status update on that business would be appreciated.
Craig R. Smith: Actually, we have a product called SurgiTrack which basically takes components or tray components from other kitting companies and then positions specific items in that for physician-specific procedures. So that is a growing business for us. It's a smaller business than, I would say, the custom procedure tray companies that we distribute for. But basically we add components to those trays so that there's not a lot of waste at the end of the procedure. So overall that's growing, but it's a fairly small component. It probably is a better margin enhancer than what I would say contributes to the top line. So we've seen some nice growth off of that in '08; we anticipate some growth off that in '09. But probably more of a margin enhancer than really a top line enhancer.
Eric Coldwell - Robert W. Baird & Co., Inc.:  I ask this every quarter; I'll ask it again - update on MediChoice, any detail, whether you could share SKUs or what you're seeing on commodity costs, demand from customers for private label, etc.
Charles C. Colpo: We're up to 1,800 SKUs now with MediChoice. We had another nice year. In the environment that we are in today, hospitals are looking to continue to save money, and MediChoice is doing well and customers are more and more receptive to MediChoice as are some group purchasing organizations, also.
Eric Coldwell - Robert W. Baird & Co., Inc.: Charlie, with the dropping commodity prices and maybe excess capacity in manufacturing globally, are you getting some purchasing opportunities there above and beyond what you might have expected?
Charles C. Colpo: You know, it's been a really interesting year in the increase and then the collapse, but I will say we've managed that business well when the prices were going up and we've managed it well when the prices were coming down.
Operator: And there are no further questions at this time. I will now turn the call back over to Mr. Smith for any closing remarks.
Craig R. Smith: Thank you, Operator. And before we wrap up today, I again just want to thank all of the Owens & Minor teammates for all the efforts that they did in 2008 and the efforts, I will thank them ahead, for the efforts in 2009. We are just very pleased with the fourth quarter results and the full year results, and we thank you for your participation today. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the call. You may now disconnect. Good day.